Operator: At this time I would like to welcome everyone to the World Fuel Services, 2012 fourth quarter and year-end earnings call. My name is Patrick and I’ll be your event specialist today. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. It is now my pleasure to turn the webcast over to Mr. Jason Bewley, Vice President Corporate Finance. Mr. Bewley, you may begin the conference. 
Jason Bewley: Good evening everyone and welcome to the World Fuel Services, fourth quarter and year end 2012 conference call. My name is Jason Bewley, Vice President of Corporate Finance and I’ll be doing the introductions on this evening’s call alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit our website www.wfscorp.com and click on the website icon. With us on the call today are Michael Kasbar; President and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started I’d like to review World Fuel’s Safe Harbor statement. Any statements made or discussed today that do not constitute or are not historical facts, particularly comments regarding World Fuel’s future plans and expected performance are forward-looking statements that are based on assumptions that management believes are reasonable, but are subject to a range of uncertainties and risks that could cause World Fuel’s actual results to differ materially from the forward-looking information. A summary of some of the risk factors that could cause results to materially differ from our projections can be found in our Form 10-K for the year ended December 31, 2012 and other reports filed with the Securities and Exchange Commission. Our comments will include non-GAAP financial measures as defined in Regulation-G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures and other information required by Regulation-G has been posted on our website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time I would like to introduce our President and Chief Executive Officer, Michael Kasbar. 
Michael Kasbar: Think you Jason and good afternoon everyone. Today we announced full year earnings of $189.3 million or $2.64 per diluted share. We once again ended the year with a very healthy cash level and liquidity position. For the fourth quarter our earnings were $45.8 million or $0.64 per diluted share, when excluding the one-time charges associated with the acquisition of select assets of Multi Service Corporation. Multi Service is an exciting extension of our solutions based offerings to the transportation, logistics, energy and payment processing sectors. Based in Overland Park, Kansas and with operations in Australia and the Netherlands, Multi Service today processes over 8 million transactions annually and more than 3,500 truck stops in the U.S., and thousands of tolls, bridges and tunnels across Europe, within government payment systems for global fuel procurement and for private label transaction processing customers. We are very optimistic about the opportunities our new Multi Service capability will create going forward. In the aviation space, our team once again delivered strong results, setting a new volume record in 2012. For both the quarter and the year we experienced continued success across all of our aviation lines of the business. Following many years of healthy rationalizations in commercial capacity, including the recently announced merger of American Airlines and U.S. Air, the short to mid term outlook appears more positive for the industry as a whole. For business aviation, growth within and beyond the United States market represents an attractive opportunity for World Fuel, and one we are poised to capitalize on. As we look forward to the year ahead, I am optimistic about our opportunities to the aviation space. Our marine segment also performed well, despite continued weakness in the broader macro-markets. While total tons delivered was down slightly for the year, the segment’s gross profit and operating income was at the highest level we have achieved since 2008, and was up 7% compared to 2011. While the shipping industry continues to be challenged, we remain disciplined in our approach. In the fourth quarter lower risk business was a larger portion of the business mix, and low volatility levels produced less profitability from custom hedging, which led to lower margins for the quarter. However, we believe we are on the right course for this industry in the short term and we remain optimistic about our ability to position ourselves in the marine space as the shipping industry, the banking industry that it relies on, and the global economy continue their slow recovery. In the land space, we once again posted records in gross profit and volume for fiscal year 2012. During the fourth quarter, our results were negatively impacted by adverse price swings in the mid-west market, primarily due to supply disruptions related to hurricane Sandy. However, for the year the land segment posted impressive growth surpassing three billion gallons of volume for the first time. While meaningful growth opportunities certainly remain in our marine and aviation businesses, the land fuel market is significantly larger and more fragmented, and therefore provides significant opportunities for further organic growth and accretive investments. 2012 marked another year of growing our platform through both strategic acquisitions and organic development. Over the last five years the company has grown gross profit and operating income at an average compounded rate of 22% and 24% per year respectively, and we continue to improve our ability to scale, integrate and strengthen our global platforms. We added several key members to our global commercial teams and our cross segment functional teams, particularly in technology and software development and services. Over the last decade through various market cycles we demonstrated that our business model is resilient, that the opportunity set for World Fuel is broad and growing, and that our value propositions are deep and diversified. We are focused on long-term value creation through well-considered investment and the enormous pipeline of opportunities around the world in energy, transportation, logistics and technology. Opportunities for growth are plentiful, but we remain committed to conservatism and disciplined risk management. As we expand the breadth and depth of our service offerings across all our business segments, our level of accomplishment in global markets is significant for only 2,500 employees. It is a testament to the talent of our teams and the degree of collaboration we have across business segments, geographies and functions. Our collaborative culture allows us to take a nimble, entrepreneurial approach to business, while serving our customers and suppliers needs and maintaining an effective foundation of corporate governance. It is truly an exciting time for World Fuel, as we leverage our growing capabilities within the new demands arising from global market place. While the world continues to change and demands at World Fuel Services change with it, we have not lost sight of our deep commitment to provide our many customers and suppliers with the expertise, value and solutions that has differentiated World Fuel Services from our competitors for years. I am grateful to you, our shareholders, for your belief in our vision and your ongoing support of the growth of our enterprise. And now, I'll turn the call over to Ira Birns for a financial review of our results. 
Ira Birns: Think you Mike and good evening everybody. As I review our results, I will talk about our performance for the fourth quarter, as well as highlight many of our full year achievements for ‘12. Consolidated revenue for the fourth quarter was $9.9 billion, effectively flat sequentially, but up $612 million or 7% compared to the fourth quarter of last year. The year-over-year improvement in revenue was due to the increase in overall volume across our businesses, offset by the impact of lower fuel prices. Our aviation segment generated revenues of $3.9 billion, up $86 million or 2% sequentially, and up $595 million or 18% year-over-year. Approximately 81% of the year-over-year increase was a result of higher volume and the remainder was a result of higher average jet fuel prices. Our marine segment revenues were $3.4 billion, down $181 million or 5% sequentially, and down $539 million or 13% year-over-year. Approximately 70% of the year-over-year decrease was the result of lower average bunker fuel prices during the quarter and the remainder was a result of lower volume. And finally, the land segment generated revenues of $2.6 million, up $119 million or 5% sequentially and up $555 million or 28% year-over-year. Approximately 88% of the year-over-year increase was due to the increase in volume and the remainder was a result of higher average gas and diesel fuel prices during the quarter. Consolidated revenue for the full year in 2012 is $38.9 billion, up $4.3 billion or 13% compared to 2011. Approximately 82% of the year-over-year increase in revenue was attributable to the overall increase in volume across our business segments, and the remainder was a result of higher average fuel prices. Our aviation segment sold 1.1 billion gallons of fuel during the fourth quarter, which is flat sequentially, but up 15% year-over-year. For the full year our aviation segment sold 4.4 billion gallons of fuel, up nearly 500 million gallons or 13% year-over-year. Volume in our marine segment for the fourth quarter was 6.6 million metric tons, up 100,000 metric tons or 2% compared to last quarter, but down 4% year-over-year. Fuel reselling activities constituted approximately 90% of total marine business activity in the quarter, slightly higher than last quarter. For the full year our marine segment sold 25.8 million metric tons, down 300,000 metric tons or 1% year-over-year. Our land segment sold a record 875 million gallons during the fourth quarter, up 11% sequentially and up 24% from last year's fourth quarter. For the full year our land segment sold 3.1 billion gallons of fuel, up by nearly 700 million gallons or 29% year-over-year. Overall, we sold a record 14.3 billion gallons of fuel in 2012; that's up 9% or 1.1 billion gallons from 2011. Consolidated gross profit for the fourth quarter was $163.3 million, which represents a decrease of $17.4 million or 10% sequentially, but a slight increase of $1 million or 1% compared to the fourth quarter of last year. For the full year consolidated gross profit was a record $673.4 million, an increase of $38.4 million or 6% year-over-year. Our aviation segment contributed $76.3 million of gross profit in the fourth quarter, a decrease of $7.9 million or 9% sequentially, but an increase of $6.3 million or 9% compared to the fourth quarter of 2011. For the full year our aviation segment contributed $294.6 million in gross profit, down $11.5 million or 4% from in 2011's record level of gross profit in aviation. Our self supply model jet fuel inventory position was approximately 90 million gallons or $284 million at the end of the fourth quarter, down from 95 million gallons or $318 million in the end of the third quarter. In the fourth quarter, while we were negatively impacted by basis spreads in the early part of the quarter, we recovered much of this impact over the balance of the quarter, resulting in a slightly negative net result for the quarter, as compared to a $5 million plus benefit, which we recognized in the third quarter. This was the principal cause of the $7.9 million sequential decline in gross profit in the fourth quarter. The marine segment generated gross profit of $47.2 million; that’s a decrease of $6.7 million or 12% sequentially, and $6.9 million or 13% year-over-year. Our core business was relatively stable in the fourth quarter, with volume actually up slightly from the third quarter. However, we did experience a shift in business mix to lower margin, low risk business during the quarter and lower volatility levels negatively impacted profitability derived from customer hedging activities. Despite the continued weakness in the marine markets, for the full year the marine segment generated gross profit of $208 million, up $13 million or 7% from 2011. Our land segment delivered gross profit of $39.8 million in the fourth quarter, down $2.8 million or 7% sequentially, but up $1.6 million or 4% year-over-year. In the fourth quarter, while we did not initially believe hurricane Sandy would meaningfully impact our land results, as the storm subsided, many refineries, pipelines and terminals shut down due to damage, power outages and storm surges. The storm left the entire Northeast with limited to no supply. While directly affected areas were principally impacted, distributors and end users in the mid-west found themselves in a similar situation, albeit delayed. The mid-west market tightened up as barrels have been directed to the East Coast, and therefore parts of the mid-west, where most of our domestic activity is based, the supply nearly as scarce, driving prices to some of the highest premiums in the U.S. for fuel we purchased during the period following the hurricane, resulting in difficult marketing conditions in which to generated probability over the second half of the quarter. While our branded wholesale business in Chicago and Milwaukee were not meaningfully impacted, our western wholesale business was materially impacted by these factors. As we entered the first quarter, we began to see market conditions stabilize. The hurricane impact was partially mitigated by a full quarter contribution from Carter, which we acquired in September. Despite land’s fourth quarter results, for the full year land generated $170.8 million in gross profit, up $37 million or 28% from 2011, demonstrating the increasing significance of this segment on our overall results. As a reminder, the Multi Service acquisition will begin contributing to our land segment results in the first quarter, and enhancing our land segment’s platform and providing broader opportunities for growth. A small portion of Multi Service’s results will be reported as part of our aviation segment. Operating expenses in the fourth quarter, excluding our provision for bad debt were $108.6 million, which is up $2.5 million sequentially and $12.2 million compared to the fourth quarter of 2011. The year-over-year increase principally relates to expenses of recently acquired businesses. For the quarter, we reported one-time expenses of $4.5 million associated with the Multi Service acquisition, which were all recorded in corporate overhead. We had initially estimated these one-time expenses at $2.8 million, but following the announcement of the transaction, we identified multiple redundancies, which was an additional one-time cost. In addition, Carter contributed to three months of operating expenses in the fourth quarter versus one month in the third quarter. So excluding the one-time charge and Carter, our operating expenses were actually down 8% sequentially. Intangible amortization included in the $108.6 million of operating expenses in the fourth quarter was $4.9 million, up from $4.6 million in the third quarter, but down from $6.9 million in the fourth quarter of last year. With Multi Services related to intangible amortization included, first quarter amortization is estimated to be between $5.5 million and $6.5 million. For the full year our operating expenses increased as a percentage of gross profit when compared to 2011, driven principally by gross profit performance, which came in below expectations. We are now pleased with this outcome and therefore as we enter 2013, we are highly focused on driving further operating efficiencies and expect this metric to once again improve over the course of 2013. For modeling purposes, I would assume overall operating expenses, excluding bad debt expense of approximately $115 million to $119 million in the first quarter of 2013. Once again, this estimate now includes a full quarter of Multi Service results. Our total accounts receivable balance in the fourth quarter was $2.2 billion at December 31. That's down from $2.4 billion at the end of the third quarter. Our bad debt expense in the fourth quarter was $400,000. That's down from $3.6 million reported in the third quarter and down $1 million compared to the fourth quarter of 2011. The sequential reduction in debt bad debt expense is principally related to the decrease in accounts receivable during the quarter, while we had a significant increase in accounts receivable in the third quarter. Consolidated income from operations for the fourth quarter was $54.4 million, a decrease of $16.7 million or 23% sequentially, and a decrease of $10 million or 16% year-over-year. Excluding the one-time expenses related to Multi Service, consolidated income from operations in the fourth quarter was $58.9 million. For the full year, once again excluding the one-time expenses, income from operations was $251.5 million, up $4.5 million from 2011. For the quarter, income from operations in our aviation segment was $35.6 million; that’s down $4.3 million or 11% sequentially, but up $6.2 million or 21% compared to the fourth quarter of 2011. Our marine segment's income from operations was $20.6 million in the fourth quarter; a decrease of $6.8 million or 25% sequentially, and $7.4 million or 26% from last year's fourth quarter. And finally our land segment had income from operations of $12.6 million, down $5.6 million or 31% sequentially and $6.2 million or 33% year-over-year, principally due to the items that I highlighted earlier. Consolidated EBITDA for the fourth quarter, excluding the one-time expenses related to Multi Service was $67.1 million, a decrease of $5.9 million or 8% year-over-year. For the full year excluding the one-time expenses EBITDA was $289 million, effectively flat with 2011's results. Our non-operating expenses, which is principally interest expense was $4.3 million in the fourth quarter, up $900,000 compared to the third quarter and down $200,000 from the fourth quarter of last year. Excluding any foreign exchange impact or earnings from affiliated businesses, I would assume non-operating expenses to be approximately $5 million to $6 million for the first quarter of 2013. Our effective tax rate for the fourth quarter was 10%. That's down from 21.7% last quarter and 11.5% of the fourth quarter of 2011. The lower tax rate this quarter was impacted by multiple items, including the lower than expected income in the U.S., driven by the land situation described earlier, and an aggregate $3.6 million reduction in our FIN 48 reserve for uncertain tax liabilities, due principally to the settlement of an income tax audit, as well as the settlement of certain other foreign tax liabilities. Excluding the FIN 48 reserve reduction, our effective tax rate in the fourth quarter would have been 17.2%. The fourth quarter is a clear reminder that our quarterly tax rate can vary based upon shifts in our distribution of worldwide earnings and other tax related matters. Therefore, rather than providing quarterly guidance, it seems more appropriate to provide guidance for the full year, so our quarterly tax rate may fluctuate. We estimate that are effective tax rate for the full year of 2013 should be between 18% and 21%. Our net income for the fourth quarter excluding the one time expenses was $45.8 million, a decrease of $5.7 million or 11% from the third quarter and a decrease of $4.3 million or 9% year-over-year. For the full year, excluding the one-time expenses, net income was $192.3 million, down $1.7 million or 1% year-over-year. Non-GAAP net income, excluding the one time expenses, amortization of acquisition related identified intangible assets and stock based compensation was $52.3 million in the fourth quarter, a decrease of $5.6 million or 10% sequentially, and a decrease of $5.1 million or 9% year-over-year. For the full year, excluding all the items I just described, non-GAAP net income was $215.9 million, down $5.2 million or 2% year-over-year. Diluted earnings per share in the fourth quarter was $0.60. Excluding the one-time expenses it was $0.64, representing a decrease of 11% sequentially and 9% year-over-year. For the full year diluted earnings per share was $2.64, and excluding the one-time expenses it was $2.68, representing a decrease of 1% year-over-year. Non-GAAP diluted earnings per share excluding all the items identified was $0.73 in the fourth quarter, a decrease of 10% sequentially and 10% year-over-year. For the full year, non-GAAP diluted earnings per share excluding all the items identified was $3.01, a decrease of 3% year-over-year. Our overall net trade cycle remained generally unchanged at 8.4 days in the fourth quarter, compared to 8.2 days in the third quarter and 8.5 days in the fourth quarter of last year. We generated $98 million of cash flow from operations in the fourth quarter, bringing our total cash flow from operations for the year to nearly $146 million. This compares to $74 million in cash flow from operations generated in the fourth quarter of last year and the use of $143 million of cash for the full year of 2011. Our balance sheet remains strong and liquid. Despite approximately $137 million utilized to fund the Multi Service acquisition in December, we had more than $172 million of cash at year-end and our net debt was only $208 million. Net debt to EBITDA was only 0.73 times and we had only $100 million drawn on our revolver, providing us with significant liquidity to fund organic growth and future strategic investment opportunities. In closing, while 2012 had its challenges, we performed well. We posted record gross profits and reached record volume. We completed two accretive and strategic acquisitions, including the recent acquisition of Multi Service, which will provide new avenues for future growth and we continue to focus on our strategy, core competencies and broad product and service offerings. We also generated strong operating cash flow, further enhancing our solid liquidity profile, providing significant debt capacity to fund organic growth and additional strategic and accretive investments in 2013 and beyond. Now, I’d like to turn the call back to the operator to open up the call to Q&A. 
Operator: (Operator Instructions). And our first question comes from Jon Chappell. Your line is now open. 
Jon Chappell - Evercore Partners: Thank you. Good afternoon, guys. 
Michael Kasbar: Hi, John. 
Ira Birns: Hi John. 
Jon Chappell - Evercore Partners: So my question is going to be about Multi Service. How are you going to account for this thing? It’s in the land business I’m assuming, but it’s not like the typical volume type business. So can you give us any insight as two how we can model this thing, margins, transactions, stuff like that? 
Michael Kasbar: Well I guess all we need to tell you right now, we’ll elaborate more in the first quarter when we complete the first full period of results. For starters Jonathan, I would say a little over 80% of the results will fall into our land segment, the balance will be in aviation; that relates to the air card program. What we’ll also do, because obviously the net revenue generated by Multi Service has no fuel attached to it. So well’s shares service related revenue separately, so we won’t take the profit per gallon that we generate in the core land business. We’ll share that information on a quarterly basis. So that’s probably all we can tell you right now. If we think of any thing else we’ll share that with at the end of the next quarter. 
Jon Chappell - Evercore Partners : Okay, and then if you can also talk about the opportunity in this business. What’s the competitive landscape like; is this kind of a one-off transaction or are their other companies like Multi Service where you could kind of roll them up with your core business and provide economies of scale to this business? 
Michael Kasbar : Hi John. It’s Michael Kasbar. Thanks for the question. We haven’t had a change to talk about Multi Service since we acquired it. We’ve known the company for quite a long time and its always great when you bring folks into the group that you know. There is certainly a level of comfort and ease. It makes the integration a whole lot easier. So we’ve been doing business with them for quite some time, in a number of different places. We’ve worked with them; we’ve competed with them. Their primary lines of business is their fleet card business, which they focus on smaller fleets. It’s kind of an under served marketplace and what they do is what we’ve done pretty much our entire lives, is consolidating and aggregating, purchasing to create some efficiencies. We are providing solutions for that client on the purchasing side and then efficient marketing platforms for supplied partners. So they’ve got a very nice product. They’ve got an extremely customizable proprietary and flexible platform that they can pretty easily configure to satisfy the requirements of the diverse customer base. So we are really happy with their product. We’ve always admired what they’ve done. And then they do a number of other different things in terms of private label, where they are giving aftermarket OEM part space, basically the ability to deal with contract management, transaction processing and that’s again a service on the trucking side, and they manage an independent owned network of retailers, where they provide a level of service there. So, its something that we like from the perspective, of its scalability, its ability to provide solutions to our cliental, to both our suppliers and our customers and we’ll be talking about it a bit more as we go down the road. We certainly think that we’ve got opportunities especially on the international side. We do have opportunities around the world and we’ll be looking to do some add-ons. It’s early days, but we’ll definitely be looking to add onto that and build on to this fantastic team that we are…
Jon Chappell - Evercore Partners : Okay. That’s my two. Thanks Mike, thanks Ira. 
Michael Kasbar: Thanks John. 
Operator: And our next question comes from Gregory Lewis. Your line is now open. 
Greg Lewis - Credit Suisse: Yes, thanks. Good afternoon guys. I just wanted to follow-up on Jonathan’s questions on Multi Service. I guess I’d ask it in a little different way; is what if any impact is the acquisition to Multi Service and as this rolls through World Fuel’s balance sheet. In other words are we going to see more increase in -- the funding mechanism, is there going to be requirement from World Fuel to expand its balance sheet i.e., increase its debt and other? 
Michael Kasbar: No, the Multi Service actually uses very little cash. As we mentioned in the announcement, that we expect them to throw-up cash in the first year. And by the way, since we closed on December 31, the assets and liabilities related to Multi Service are on the year-end balance sheet already, even though there were no results of operations obviously in the fourth quarter, because we closed the last day of the year. So if that’s what you are asking Greg, it’s not a cash intensive business. It’s more of the opposite. It should provide opportunities for us to enhance our cash flow profile. 
Greg Lewis - Credit Suisse: Okay, perfect. And then just shifting gears a little bit, can you provide a little bit more color on the impact of Sandy in the mid-west and sort of just given the timing of that in the quarter, when did it normalize? I think you mentioned that it has normalized. Was that something that we saw in December or was it something that happened in 2013. 
Michael Kasbar: On the last quarter, we were just a day or two into it and we don’t really have significant operations in our land business in the northeast where obviously Sandy hit. So at the time, we certainly didn’t expect that we are going to have much of an impact there. Our aviation side did extremely well in managing themselves, moving a lot of product by truck and its just a little bit of a different supply chain and our marine business is very much globally oriented. So what we didn’t really count on was the ripple effect of the impact it was going to have in the mid west. So that kind of caught us by surprise and we feel largely responsible for some price disruptions and we were impacted by that. The western model is very much oriented as an inventory model, moving product around the mid west throughout the country and that certainly caused some impact that we didn’t really plan for or expect and we are exposed to it. So it basically rolled throughout the quarter. 
Greg Lewis - Credit Suisse : Okay perfect. Thank you. 
Operator: Thank you. And our next question comes from Jack Atkins. Your line is now open. 
Jack Atkins - Stephens Inc.: Good afternoon Mike and Ira. Thanks for taking my questions. 
Michael Kasbar: Hi Jack. 
Ira Birns: Hey Jack, how are you? 
Jack Atkins - Stephens Inc.: I guess to start off with, we could focus on the marine segment for a minute. What was really behind the negative mix shift there in the quarter and then do you think that that’s normalizing? Just trying to understand if this is something that could be an issue for the next couple of quarters or this is confined to the fourth quarter? 
Michael Kasbar: It’s possible that we are a bit more conservative than the average bear. We very much are oriented to not taking and not betting the farm. We never have and it’s not really our plan to do that and you got a fairly risky market there. So we’ve taken the conservative approach and the demand is not great as we know. You’ve got different market cycles between aviation and marine. I think that’s the beauty of the diversity of our business model. If you look back at 2008 and 2009, we had an exceptionally good year for marine in 2008. Aviation responded extremely quickly and started to soften up in marine. In 2009 aviation came back and then we introduced land. I talked about some of the noise canceling. So the beauty of our business model is that we are not necessarily dependant on any business cycle or economic cycle. We’ve managed to go through all of them. So we are still conservative on the marine side. The banking, I mean we still have a tremendous amount of debt out there, that give a lot of lack of recognition. So we are careful and what that means is that our growth is probably going to be a little bit conservative. On top of that the volatility was not great in that quarter. If you look at the fourth quarter of 2011, we had a significant amount of contracts due to derivatives, because we have the right forward curved profile. We didn’t have that in this quarter, so that was primarily why the fourth quarter turned out the way it did and we think that it’s going to be probably a slow recovery. I mean that seems to be the orientation of marine. It reacts a little bit slower than the aviation side. The aviation side has done I think an exceptionally good job of cutting down on their capacity and has managed themselves in some ways better than the marine industry, which is a pretty distressed industry. 
Jack Atkins - Stephens Inc.: Okay, got you. And as my follow-up, just wondering if you guys could address sort of your plans for the NCS business in 2013, just given the administrations plan for a troop withdrawal there over the next couple of years. Just sort of curious, is the pipeline for additional NATO contracts. If that is full as it was a couple of quarters ago and sort of where are we in the process of may be winning additional business to supplement the loss of demand once we minimize our footprint in Afghanistan? 
Michael Kasbar: When we made the decision to acquire that company a while ago, we did it with the intention of being able to leverage that skill set to other geographies. That is one serious piece of business development, but it’s very much in tune with our strategic extensions of understanding logistics, procurement, moving with government entities. So within Afghanistan, that troop draw down will create additional activity. So it’s possible, but certainly not guaranteed that the level of activity could in fact increase, but it’s always unpredictable there. Certainly, I wouldn’t venture to say yes, on anything there. We provide the service and once again our intention, we all pray at the altar of predictability. But we are trying to balance profitability and predictability and we, I don’t want to say opportunistically go after things, but we certainly are positioning ourselves to fill the gaps in the marketplace and match our core competencies and are developing core competencies to those emerging opportunities in the marketplace. Some of them are not ratable. But we look at that logistics, service in those framework agreements in other parts of the market and we‘ve been working on that. We don’t have anything to report. We establish (inaudible) a while ago and we reported that to you. So it’s certainly our intention to develop that as a global business line and I think for the foreseeable future, our expectation is largely stable results, but it’s impossible to really know. 
Jack Atkins – Stephens Inc.: Okay great. Thanks again for the time guys. 
Operator: Thank you. And your next question comes from Ken Hoexter. Your line is now open. 
Ken Hoexter - Bank of America Merrill Lynch: Great. Good afternoon. Mike -- hey Ira. Ira maybe you could just kind of follow up on the – you talked about land being impacted by Sandy. You talk about marine kind of maybe staying in this week market. On aviation, it also saw a little bit of decline on the gross profit per gallon. Was this because of, I don’t know, was this because of also self-supply at aviation. Was that impacted or is there a shift here that you are seeing to the marine in terms of your volatility comments there? 
Michael Kasbar: The principal shortfall in aviation that contributed to the lower margin, because once again buy-in is where we’re generally flat, was what I described in my prepared remarks. We were positively impacted on inventory as I described in the last quarter’s call by over $5 million. This quarter we didn’t have a positive impact and we actually had a slight negative impact to lets say $1 million to $2 million. So that $6 million or $7 million swing contributed to almost the entire delta in GP sequentially, which is what drove the reduction in margin. So, no, its not the dynamics that we described in marine. I would describe the aviation business as stable with a lot of growth opportunities on the horizon on both the commercial and general aviation side of the house. 
Ken Hoexter - Bank of America Merrill Lynch: But to the marine comment there, it is because of lower volatility right? Am I getting that comment right? 
Michael Kasbar: On the marine side, there were two things that I think Mike describe. One was volatility was extremely low and as you remember Ken from past discussions, volatility contributes to the profitability that we generate on the hedging side on behalf of our customers. So it appeared with no volatility like we saw in Q4, it’s less likely for us to be successful in that element of our business. That was one piece of the puzzle. The other piece was, both a conscious migration to lower margin lower risk business and really being driven there in part by what was available out in the marketplace. So we generated the same level of volume in Q4, but the mix of business we shifted towards the highest credit quality, which is typically the lowest margin and that was a bit different than what we saw in the third quarter. So we had a couple of factors there. Now that also contributed, the second factor that I just described contributed to cash flow as well. Because generally the trade cycles, some of that lower risk business is tighter and that’s one of the contributions to what was a very solid cash flow result in Q4. So that’s the positive side of that equation. 
Ken Hoexter - Bank of America Merrill Lynch: Great. And if I could just do the follow up here on, I’m coming back to Multi Service, I think there is still a bit of confusion as to, maybe Michael to you, you were addressing the question there before about why you felt this was needed. Are you trying to say this is a new leg to the story after kind of the land and aviation marine or is this something you view as an extension of the existing operation. I guess maybe just give a little bit of feeling as to why you wanted to make this type of acquisition as opposed to something that would have been maybe fit into one of those three segments a little bit cleaner. 
Michael Kasbar: Well thanks for asking Ken, because it gives mean opportunity to talk about it a little bit. We are really very excited and happy to have Multi Service as part of our family of businesses. If you look at what our value proposition is, we are providing solutions. If you look at processing millions of transactions, getting a timely invoice, an accurate invoice, getting the management control of what is going on with a truck. They provide a closed loop, level three transaction system that gives both the merchant, as well as the customer the opportunity to get tremendous amount of information on what is going on with that transaction. We’ve got a great team that as I said before has built this highly flexible, customizable, proprietary platform that we can basically engage our buyers and our sellers to basically make what is kind of a complicated thing with taxes and fuel prices and locations, and management information, basically sort that chaos out. So we are really exciting about being able to bundle this. So to answer your question, it’s really both. It kind of stands on its own, though it has stand on its own, its been an independent business for many, many years. Extremely innovative group of people and now they have a bit of a work chess. They’ve got a global platform. Certainly we’ve got a tremendous supply community by way of introduction in terms of business development and expanding customer base. They bring us into the land business, a significant amount of touch points on the land side in terms of trucking. So we are pretty excited about it and their functionality that they have in all of their lines of business are transferable to other geographies and other marketplaces and other solutions. So you know that we’ve invested a tremendous amount of money over the years in technology. We are a big believer. It certainly makes a lot of sense for our asset like business. We are running an intellectual capital business. We are basically making money on our ideas, our innovation and our wits, and technology and information management and solutions for all the moving targets that we have in terms of prices, jumping up and down, locations, all of the logistics, ships, planes, trucks, it all fits. So we’ve been on this; it’s been a little bit of a slow burn. We’ve made some small acquisitions of software and technology companies. We bought Epcot in 2007, so it does fit and again, it adds to the predictability. These are very predictable business models. There are asset like. They are very working capital, non-intensive or whatever the right word is. So we like it and we’ll continue to grow our business in a bunch of different areas. Whether we’ve got the right mix of businesses today, we are doing a number of different things, and we are in the process of figuring out what that right mix is, but we are pretty happy with this addition. So it is a little bit different, we understand that, but trust us, this was I think a very good at addition to our suite of services. 
Ken Hoexter - Bank of America Merrill Lynch: I appreciate the insight. Thank you. 
Operator: Thank you and our next question comes form Ken Hoexter your line is now open. 
Ken Hoexter - Bank of America Merrill Lynch: That was me. 
Michael Kasbar: That was Ken. 
Ken Hoexter - Bank of America Merrill Lynch: Thank you. 
Operator: All right, sorry about that. Your next question comes from William Horner. Your line is now open. 
William Horner - BB&T Capital Markets: Hey Mike and Ira, thanks for taking my call. 
Michael Kasbar: Hey Will.
William Horner - BB&T Capital Markets: Mike, you touched on this earlier, I appreciate the color you gave on Sandy, but did you by any chance quantify the impact that you’ll saw on the quarter? 
Michael Kasbar: I’ll get that William. It’s very difficult to quantify with any level of complete certainty, but we are viewing the impact. It’s somewhere in the neighborhood of $4 million to $5 million for the quarter. 
William Horner - BB&T Capital Markets: Okay. 
Michael Kasbar: So that doesn’t represent the entire sequential change in GP, but it certainly a good half of it or a little more than that. 
William Horner - BB&T Capital Markets: Okay, good. Thanks Ira, that’s good color. And the just one quick housekeeping issue. I missed it on the slide, but could you remind me of your aviation volumes during the quarter? 
Michael Kasbar: The aviation volumes during the quarter were 1.1 billion gallons. 
William Horner - BB&T Capital Markets: Okay. 
Michael Kasbar: Which is basically flat from the third quarter. 
William Horner - BB&T Capital Markets: Got you. All right, that’s all I’ve got. Thanks gentlemen.
Operator: Okay, thank you. And the next question comes from Edward Hemmelgarn. Your line is now open. 
Edward Hemmelgarn - Shaker Investments: Yes, just this one question. Actually what was the quarterly revenue run rate for Multi Service when you acquired them? 
Ira Birns: Well, it’s effectively in that business model. Their gross revenue and net revenue are the same. It’s about $15 million or so a quarter. 
Edward Hemmelgarn - Shaker Investments: 15? Okay, great thanks. 
Operator: Thank you. And at this time we have no further phone questions. 
Michael Kasbar: Well, thanks for joining us. We feel good about our company and what our position is for long-term value creation. We got significant global reach. We think we’ve got an excellent competitive position and we feel very good about our ability to continue to participate in this incredible global marketplace. So thanks very much, and we'll look forward to talking to you next quarter. 